Operator: Thank you for standing by. And welcome to the James Hardie Q3 FY16 Results Briefing. [Operator Instructions] I would now like to hand the conference over to your first speaker today, Mr. Louis Gries, CEO. Please go ahead.
Louis Gries: Thank you. Hi, everybody, thanks for joining the call. This quarter we're going to take the same approach as we normally do. I'll do a brief overview and then Matt Marsh, CFO, will cover the financials in some detail. When he is done with that, we'll come back for Q&A. Investors first, and then when we're done with investor questions, we'll take any media questions you may have. Matt and I are in Dublin, so the slides are being run out of Sydney. So I'll just be calling out the slide number. So slide 2 is the first page of our disclaimers. Slide 3 is the second page of our disclaimer. Slide 4 shows our short agenda there. Slide 5 is another overview page. So slide 6 is the first one we're going to cover. Group overview, you can see everything is pointing up, adjusted net operating profit, up 16% for the quarter to $56.2 million. And adjusted EBIT upto $82 million for the quarter. Obviously the margin improvement 2.6%. So basically the story on the quarter is it went very much as expected. The volumes are good, plants continue to run well. Price, flat to slightly up. And you can see in our final board point, we'll talk about the even margin for the quarter but little bit later but for the full year it's a 25.1% in the North American and Europe business. Slide 7, gives you the details on North American business. You can see price was flat so volume and sales were both up 12% which is little bit stronger than we were comp in the first two quarter but again, it's pretty much in line with what we're expecting in the quarter. We felt this quarter was an easier quarter to comp against, the next quarter is actually more difficult quarter to comp again because we had a price increase of total volume forward last year. So I think the short story on volume is, it's tracking ahead how it has been for the last three of four quarters which is below our targeted level. So that continues to be our priority to increase the primary demand growth rate in the business. The market index, we're up already now in this year with the stocks where they are and in our words, where it is, is around 6%. So we're still in that, flat to slightly positive PDG and we expect that for the year. Obviously, we're working and again that turned up but that won't be in the next quarter. On the cost side or the EBIT side, you can see a 24% EBIT. The way we got there was little different than usual or little unexpected I guess. North American, even margin was actually 26%. Europe did not contribute EBIT this quarter which is very, very unusual, and we don't expect it to continue in the future with add a bad quarter where they didn't contribute any EBIT dollar. So that dragged the percentage down. And then also the non-FC runs negative EBIT as we've covered in the past, so that brought it down. So if you look at, the segment has reported 24%. The North American fiber cement business ran at 26% for the quarter. We're still getting some pretty favorable comps on freight and some of the input cost, so that's been kind of the story for the year and that continues. But basically cost are being well controlled plus we're getting little help on foot [ph], so pretty strong EBIT margin performance. Slide 8, show us the slide. It shows a graph of longer term view of the EBIT margin. You can see it for quite a few quarters now we've been either in or above our range and our guidance is pretty much then that we expect to continue that as long as the market remains good in the U.S. which we also expect them to continue. I'll go to slide 9, it's a price slide. Like I said, this quarter up dream box, so it's pretty flat. It's actually up 2% in the U.S. business but when you take into account European and Canadian FX, it brings it down normal slab. So we do have some price improvement in the U.S. business that just doesn't jump out because of the FX adjustments when you report the segment. And then top line growth, the green lines, against the housing starts obviously, we're getting a little further part each time, and again, would expect that to continue. And that's year-to-date basis 270% increase in volume and 80% in price. Slide 10 just gives you the overview of the Asia Pac business, couple of things to note, on the volume, we sold the pipes business in Asia Pac. So that was in the last year's volumes and not this year volumes. So when you look at the existing business, it did comp up 3% in volume. And on an EBIT -- from an EBIT perspective, it's obviously flattered and you would expect with the improvement in revenue. And that's really two things; one, last year's third quarter had a write-back and it's -- so that was a one-off that's comping against. And the Carole Park startup took longer and was less efficient than we had planned, so that chewed up some of the EBIT dollars as well. Again, I think the -- that capacity is up and running and become kind of a hit in the window where it's pretty reliable now. I think we really have some more cost and efficiencies this quarter and my expectation would that should be the end of it, start getting the benefit to that investment starting next year. Just for now I'll hand it over to Matt Marsh for the financials.
Matt Marsh: On page 12, the third quarter, we reported net sales of $414 million, they were up 7% year-over-year. EBITs up at 52.1% for the quarter on a reported basis and net operating profit at 25.4% on a reported basis. Net sales as Louis talked about, increased as a result of higher volumes in both segments, Asia Pacific and the U.S. Higher average net sales prices in local currencies. As Louis indicated, the headline number for the North America and Europe segment is flat priced, and again, that's just -- that's about 2.5% price in North America offset by about two points of FX and a point of each for Canada and Europe. So I'll get you coming to the flat number. The gross profit margin is up about 130 basis points. We continue to see good plant performance and that's continuing to comp favorably versus fiscal '15 and resulting lower unit cost. So combination of the plants running well and input costs are down year-over-year. SG&A expenses have increased, we're continuing to invest in the segments and then some of that's partially offset by stock comp which is down year-over-year because of the share price performance in comparison to a year ago. And then adjusted net operating profits up, it's really driven by -- the adjusted EBIT is up 23%, that's really on the back of operating segment. Interest expense is up corresponding to the increase in our debt. And taxes are up corresponding with the operating improvement in the business. On page 13, the story for the nine month is very similar. So through nine months we've got sales of $1.292 billion, and net operating profit of $215.6. So net sales up for -- again, very similarly, higher volumes in both segments and similar price trends in the two segments for the nine month period as well as the quarter. Similar story on gross profit, to the prior page, plant performance from LA in the U.S. combined with input cost is driving the expansion of our gross profit margins. A dropdown to adjusted net operating profit, it's up primarily because of adjusted EBIT. You will note in the other interest expense line item, that's favorable by about $8 million year-over-year. It's really driven by three things; it was about $4 million favorable change in foreign exchange, foreign contracts year-over-year. About $3 million change in interest rate swaps year-over-year and on $2 million a gain of this year on the sales of pipes business that obviously wasn't in the prior corresponding period from last year. Slide 14, the change in the Aussie dollar versus the U.S. dollar, the U.S. dollar continues to show a lot of strength, it did so in the quarter. And that's what this graph shows, what shade is there is the quarter period, you can see that it's certainly levelled off for the most part throughout the quarter but in comparison to a year ago it's down pretty significantly. And the table in the bottom of the page, you can see the impacts on net sales, gross profit, adjusted EBIT and adjusted NOPAT. It changes the sales comparison year-over-year by about four point and EBIT by about four points, as well as net operating profit by about three points. So a somewhat material change on our results as we're translating both Canadian, European and Australian results. This being the focus of this page is primarily on Australian dollars. On slide 15 to get the U.S. input costs, pulp has decreased by about 9% compared to a year ago. So that's obviously been a favorable impact to the business. Cement prices continue to rise year-over-year, they are up about 8% for us, and up higher in the market. Gas prices have come down dramatically, as you might expect has have electricity prices are down 20%. So I think it's some sense of the input cost, tailwind, that we're seeing year-over-year that's helping to expand gross profits. From a segment perspective, in the North American, Europe segment, for the quarter $79 million of EBIT in the quarter and almost $258 million for the nine months. As Louis indicated earlier, while we reported in the segment for North American year for EBIT margin was a 23 to 9. That was -- I'll just give you guys a little bit pieces of that one more time. That a 26% underling North America EBIT margin and then that's partially offset by Europe, and that drags Europe and the non-FC drag it to down $23 million and then year-to-date, North Americans add about 25.1% -- sorry, 26.7%. And very similarly, Europe and non-FC brings the back down, kind of the 25.1%. So for the quarter and year-to-date, EBIT is up significantly, 24%, 25% for the quarter and the year. Primarily with lower production cost, certainly the list price change that we made in North America is holding as well. Fiber cement, EBIT margins in North America did expand in the quarter and for the nine months, so they are up about 230 basis points in the third quarter and almost 340 basis points for the half year. So while -- a good performance trend and a very similar year-over-year expansion we saw here in the third quarter that we saw in the first half of the year. On Asia Pacific, EBIT in local currency for the quarter and year-to-date increased 1% and 7%. Louis already hit on the lease write-back that we had in the third quarter of fiscal '15. We note that in our filing, its $2.6 million gain in the third quarter of '15 that obviously didn't repeat this year. And then year-to-date the Carole Park startup has had an impact in the $7 million to $9 million range, that's also impacting the nine month comparable. On page 17, no real change in R&D, we continue to track range of 2% to 3% of sales. There is a bit of a decrease you'll know year-over-year, also impacted by U.S. dollars and the strength in the U.S. dollar and the translation of the R&D that we have outside U.S. But other than that it's just normal variations, I know real change in the trends that we've talked about in prior calls on R&D. General corporate costs for the quarter, the discretionary expenses were down in the quarter but it was just that discretionary wasn't anything kind of, no strategic change, it wasn't a change in labor, it was just the timing of some expenses. We also had a decrease in some of the FX losses. For the year -- year-to-date, higher stock comp expenses, as well as a bit of a decrease in discretionary expenses, I'd say corporate costs are pacing where we want them to pace. On income tax, page 18, we're estimating a 26.6% adjusted ETR for the year, it's up slightly from what we said at -- in November for the first half estimate for the year. That obviously changes as our estimates become actual and we look at our geographic mix of earnings, and are able to take a closer look at our taxes. But it's trending in line with where we've been pointed all year. Obviously, that changes with the geographical mix of earnings, we're paying income taxes in Ireland, the U.S., Canada, New Zealand and the Philippines. We're not currently paying them in Europe or Australia due to the tax losses. And the Australian tax losses just to remind everybody is primarily the result of the deduction we get from our annual contributions on ACX. On page 19, with $200 million of cash flow from operations for the nine months in fiscal '16 in comparison to $104 million for the nine months of fiscal '15. That's really driven by a combination of lower annual contribution this year versus last year, and our favorable change in working capital, primarily in the U.S. and primarily as a result of inventory. That's a combination of the plants ran -- really, much better this year and we build inventory earlier in the year and then we've been able to tort that inventory down. And then that was partially offset by some -- what I'll call morale variation in receivables and payables. Receivables and payables generated cash for us, just not as much of the year [ph]. CapEx continues to trend in line with our expectations, $44 million through the first three quarters of the year, it's obviously down substantial very a why ago, then of the reduction in the capacity projects, the Australian projects complete and that started up in the Carole Park. And the we're almost complete with our two U.S. expansions. There was -- and then on the financing side, you can see there is a decrease in the borrowing as well, that was partially offset by degrees in dividends paid? On page 20, a little more color on CapEx. The green bar outline kind of maintenance CapEx and there is grey bar, outlines capacity related. So you can see the capacity. CapEx is continued to decline down and the main feature is becoming maintenance CapEx that's consistent with what we've said in the last few calls and is consistent with what we would expect over the next several quarters. We'll continue overall investing in maintenance CapEx and we continue to differ both the Plant City and the Cleburne commissioning but we are constantly monitoring that, both for overall capacity and product specific capacity. On slide 21, our financial management framework remains unchanged. Just to remind everyone it starts for us with strong financial management and we measure that through combination of strong margins and operating cash flow, good governance, and financial ratio is in line with investment grade management. So all that remains unchanged and we feel good about that. The capital allocation, no real change, our top priority remains investing in the organic growth of the business, both through R&D and capacity expansion, followed by maintaining our ordinary dividend and with our third priority being flexibility for kind of everything else. We are within our leverage range of one to two times adjusted EBITDA we're at the low end of that range. You see on the next page that we've got about 5.8 year weighted average facilities, almost $500 million revolving bank facility and 65% liquidity. So we feel good about where we are from an overall strength of our balance sheet and our overall financial management framework. On page 22, a little bit more debt and liquidity. In the quarter, we refinanced our revolving credit facility. We replaced our bilateral loan facilities with a revolving credit facility. We took that total amount from $590 million down to $500 million. That's on top of the $325 million senior unsecured note. That combined with an accordant feature that we have in revolving credit facility gives us available debt and you can see pictured on the left. But we have for outstanding debt is represented in the bars to the right. On our balance sheet we've got about $95 million of cash, really strong liquidity position and we're at the low end of our one to two times leverage range. So we feel like we're on-strategy overall from a balance sheet perspective and feel good about our access to debt and to the markets. On page 23, the guidance range -- sorry, the analyst forecast are currently projecting between $237 million and $249 million of NOPAT adjusted net income for the year. We've raised the low end of our guidance range to $240 million, to $250 million and if you recall, last quarter we had a range of $230 million to $250 million. Obviously, that's got a number of assumptions built in into it. We've had about six weeks to go. And that's all I've got on guidance. So with that we can open it up to any questions.
Operator: [Operator Instructions] Your first question comes from Emily Smith of Deutsche Bank. Please go ahead.
Emily Smith: Good morning, Louis, good morning Matt. Just a couple of questions for me, firstly, in terms of your U.S. margin, you obviously highlighted that the Q3 margin as per your opinion and other businesses is very strong. When I started to look back over the last five or six years, the Q3 EBIT margin has been seasonally weaker. Is that something that you would expect to be the case in FY16 as well? And secondly, I just had a question on volumes. I think 12% volume growth obviously compares to a period that everybody looks at pay being down 5% in the quarter. And when you look at some of your other competitors, the volume growth also seemed a lot lesser than what you're reporting. So it sort of -- while that you're having that sort of 9% to 10%, I'm just wondering if you can give us some clarity as to why it doesn't seem to be adding up but it seems to me when you look at your competitors, that your market share growth is actually a lot better than when we you look at the overall U.S. housing stats.
Louis Gries: Yes, okay. So on the EBIT margin, yes; third quarter is always the toughest quarter because you've got the holidays between Thanksgiving and New Years in the U.S. where activity is pretty low. So, yes, I think pretty much the business runs right. The third quarter is always the toughest one deliver the financials. We did pretty good this quarter and kind of went through that. I guess you hit on one of it volume up certainly helped. Then the input cost, and the plants running well, also helped. So that is a fact, it's usually lower and this year we did -- well, as you can see, we did 2.6 points better and even margin than we did last year. So obviously, did relatively better in the quarter. As far as volume comp, quarterly comps are just hard, there is just a lot of variance because either add a good quarter or bad quarter last year, you're comping against and then you have this quarter. And then you have volume that spills over in the next quarter or maybe it was pulled in the previous quarter for whatever reason. I think we look at it on a four quarter basis, and we forecasted things out and we think the 12% probably does indicate a little bit of early traction but more so it's just normal variance again, quarter-to-quarter comp. So certainly we're not less optimistic about our volume tracking above the index that we were three months ago when we reported that really our view hasn't changed too much. I mean, we're going for a lot more volume than we're getting right now. So we're coming up short. We didn't come up as short in the third quarter as we did maybe in the first two but I think by the end of the year, it will look pretty much the same.
Emily Smith: Great. And so the European Windows businesses, would you expect those businesses to continue to sort of detract from the U.S. margin or you sort of mentioned here it was unusual late week?
Louis Gries: Yes, Europe just take a corner, so that wouldn't -- we wouldn't expect a repeat of that. Remember, we're reporting non-fiber cement initiative revenue which is very small and even losses which are large but they are enough to drag down our EBIT margin a 1% or so. Those who stay in the segment, so until we're running positive EBITs, mainly to Windows business right now, until we're running positive EBITs, it will dampen the EBIT margin in the North American and Europe segment.
Emily Smith: Right, thanks very much.
Operator: Your next question comes from John Hind of Merrill Lynch. Please go ahead.
John Hind: Good morning, Louis and Matt. Just a quick question, I guess following on from Emily's about the market share, we've -- coming through the U.S. time [ph] result but that's starting to focus more on the $250 and below $1000 category rank. I think your shares have declined a little bit in those categories over the last couple of years. Can you expect growth over and above the market if this is a real trend the builder is going forward?
Louis Gries: Yes, I mean it depends market-by-market, what degree we participate and they say the bottom third year market. In the southern markets like Atlanta, Houston and even though the West Coast markets, Seattle, Portland, those are like four big markets there. We'll do well in the starter and first move upon, when you get into the final markets our market development hasn't gotten that far so we started to top at a market and we wouldn't be in the starter first move home. So my answer would be, it doesn't -- what type of house gets build really doesn't concern us much because we obviously have targets for participating in all the different segments. It's not something we can change, there is not some product development initiative you would launch if you felt there were going to be more starter homes built over the next 10 years and they were to last 10 years. So -- but we're not as biased away from starter and first move up homes as you might think because of our big markets in the south, we do participate quite well there.
John Hind: Okay, great. And just on the capacity expansion, it looks like you're sort of idling two of the plants, further [ph]. What level of starts would you need to say to switch these back on to ramp amount or is this just because there is a little bit of original softness. I'm just too surprised given the 12% volume this quarter.
Louis Gries: John, we've got plenty of capacity. We wanted to keys to run in an organic growth business model like ours where we have such a large share of the total categories to make sure you never run out of capacity. So we're -- if you run out capacity you're just shorting the market that's come over to your products. So it's just certainty to supply becomes an issue for your customers. So we've always committed to deliver on that certainty of supply by having excess capacity in the system. You're right, we've got two good lines, two large lines, modern lines that we haven't started up in the U.S. business. Our planning for those lines was based on the original housing forecast and quite honestly, this year a higher PDG for result. But it doesn't come down, the housing starts, we will probably start up that Florida line sometime next fiscal year and it will be driven more by capacity on the specific product and overall capacity that's being driven by housing starts. So we're very comfortable where we're at capacity, we feel like we have a lot of capacity ready if the market did turn out at quicker rate than it's currently forecasted or we can, again, defer those startups and sure you've got the carrying cost for the sheep machines but that's not a huge problem for us obviously.
John Hind: Okay, great. Thanks Louis.
Operator: Your next question comes from Peter Stein of Macquarie. Please go ahead.
Peter Stein: Hi Louis, Matt, thanks very much. Couple of quick ones, just on the notion of destocking, it seems to be that's schematic is coming out of the U.S. I'm humbled as suppliers or across the board, have you seen any impact from destocking clearly in the rounds of 12%, probably not much but could you more pertinently comment on your January sales performance to-date, whether there has been any acceleration as a consequence of anything related to destocking?
Louis Gries: Yes, you're right. I mean we've seen that -- I don't know what I'd call it, explanation I guess, the kind we're seeing it. We've seen that explanation in other company's results but we're not experiencing any of it.
Peter Stein: Great, that's clear with 12%. And then just on working capital, very strong performance inventories, could you comment on how that progresses from here as a sustainability of that improvement?
Louis Gries: I'll let Matt cover that, he is more on top of that.
Matt Marsh: Yes, I mean we have just -- we've built up inventory last year, part of that was normal winter build but we also were putting a lot more of board through the plants that were running significantly better in the back half of last year than they were in the first half of the year and that resulted in higher stocking roles. We saw that coming into this year and we knew that we would obviously take those inventory levels down. So we're pretty happy with where we've got our inventory at the moment, obviously we look at it by region, by product and we feel like the majority of that cash has gone back into the system now and inventory is kind of at a more normalized level.
Peter Stein: Thanks.
Operator: Your next question comes from Matthew McNee of Goldman Sachs. Please go ahead.
Matthew McNee: Louis, Matt, just a quick one, just on the margin. Matt, you talked about the impact of the way growth [ph] in the Windows business etcetera on the margin but the Canadian business, I know you're sort of part of North America but can you give us a bit of feel because that margin in that Canadian business must be sort of mid-teen to best, maybe a bit lower. So is there any thoughts to maybe pushing out prices in Canada just to offset that depreciation that you're seeing in the dollar?
Louis Gries: No, I mean we price based on our value position in the market. By the way the Canadian business is almost all color plus on the exterior side. So it's a good even margin business for us. When we talked about the price adjustments, obviously we're talking about Canada and Europe due to FX. When we talk about the EBIT kind of step down, then we talk about the non-fiber cement which is mainly Windows and Europe. So we don't have margin problem at all in Canada.
Matthew McNee: When you look at that 26% in North America, you were saying Canada is doing 26% as well. I mean U.S. would be…
Louis Gries: No one has ever shown me that number but I know what our price-cost-volume equation looks like up there and I'd say it's fine, it's not something you would take a price increase to try and fix. It's not broken, so we don't have a problem up there.
Matthew McNee: And Louis, one of your competitors was sort of highlighting that another one of their competitors, which would suspect pointing at you, were doing some discounting in the quarter. And they were saying you guys were getting aggressive. Is that what's driven the high volume? Is there any credit to that?
Louis Gries: I'm not sure they were referring to us. The way -- kind of the way it works, I know you know Matt because you've followed us for a long time. We set our price and then the discounters set their discount price against us. So there is little benefiting of cutting a price if it's not on a bid project because most of our work obviously is not bid, because they are just going to take their discount and apply it to our number. So we sell at a premium and then they pick their discounts. So I'd have to assume they're talking about one of their hard board competitors rather than us.
Matthew McNee: Okay. And just, sorry, final one, obviously, it's fairly dice but it does look like that PDG is picking up a little bit. Can you give us a sort of evidence or indications on specific markets -- like the bond markets. Are you trying to get standing traction there or is that main more in other markets?
Louis Gries: Yes, I mean the variance in PDG -- the normal variance in a PDG calculation is greater than whatever pick up we would have seen. So we're not actually declaring that we've got PDG increasing. Obviously, we feel pretty confident that things we're doing in the market are going to get us there but you can't see it in the results yet. And as far as what are we working on PDG, I think we talked probably in November about the rate of decline of vinyl had started to slow, over the last I think it was like at that time 10 or 12 months. So that's our focus is vinyl and most of vinyl's in the -- kind of north and Mid-Atlantic States. So we are back having the right amount of resource point of that final. So I definitely expect there PDG to improve but like I said, I think two quarters now, it's not going to happen overnight and we don't think it's happened yet. So I won't read too much in that 12%.
Matthew McNee: Thanks.
Operator: Your next question comes from Andrew Peros of Credit Suisse. Please go ahead.
Andrew Peros: Thank you. Just an extension of the volume question, sorry to lay the point. But then perhaps it's just a point of clarification maybe, Louis when you talk about the quarterly variances in that 12% volume growth, obviously there could be some distributor rate stocking or some portfolio of activity but when we -- six weeks into in the fourth quarter, what's your order for looking like in the context of 12% volume growth that you delivered last quarter. Are you tracking above or below that? I guess just to give us a bit of feel for how much of that is on the line activity versus perhaps that pull further or restocking?
Louis Gries: We go back to my destocking, now restocking question. Our customers, that's not normal practice for them. I guess maybe they -- they know that they can rely on us for supply when we need it so they're not going to, I mean our lead times are fairly short. They are not going to take out a bigger position on inventory than whatever their seasonal demand would indicate. So it's nothing to do a restocking. As far as our order file right now, it's fine but remember, I think we kind of indicated last year and I know, I think we indicated earlier this year, maybe even this call I mentioned, we had a price increase last year in March and poisoned volume forward from 2016 into 2015. So we won't comp at 12% in the fourth quarter but not because their order file is off, it's because their comp is lot higher in the fourth quarter than it was in the third quarter.
Andrew Peros: Okay. And just in terms of the U.S. process led to against incrementally down, can you maybe disaggregate how much of an impact you saw from the depreciation of the Canadian U.S. dollar verse, maybe some adverse mix. And maybe just that as a precursor to a question or about the performance of interiors versus the exterior parts of the business.
Louis Gries: Well, that's where you would get a little bit of mixes relatively to last year as our interiors segment is running much better. We do a little fix up there just over a year ago and we're still running pretty strong on that. So our growth rate on interiors is pretty good. And that obviously does sell it at lower average price because it doesn't have the pain or so many other features that exterior products have. So there is a little bit of mix but the easy way to get to our price, we were up about 2% in the U.S. and then by the time you took care of FX in Canada and Europe was flat. So U.S. business is up 2%.
Andrew Peros: Thanks. And just a follow-up question to Matt, obviously, the balance sheet is in pretty good shape. Net debt to EBITDA is at the bottom end of your title range. Just wondering at what point do you start to think about capital management again if we get to a situation where you're below that target range again?
Louis Gries: Yes, I mean it's not quite as formulaic, obviously we want to stay within our range of one to two -- Herdie is where we're at, obviously there is a lot of volatility in the debt market at the moment. So being towards the low end of that range at this point in time with the volatility that we see seems like a reasonable strategy. I'm happy with where we are with the balance sheet, we obviously continuously monitor where we are within that range and we'll continue to do that. But just because we're out 1 versus 1.4 wouldn't necessarily drive a strategic decision on additional returns above the ordinary dividend.
Andrew Peros: Okay, that's great. Thanks for your time.
Operator: Your next question comes from Cape Tow [ph] of JP Morgan. Please go ahead.
Unidentified Analyst: Good morning, Louis and Matt. Just a follow-up question on Matt's question on LP, Louis without being not raising its prices this year, it's likely it will probably impact overall competitor dynamic and take anything in path of U.S. regardless of whether the competitor that we're referring to with high diesel, high board competitor. Have you started seeing LP becoming a bit more aggressive on price and sales, but you look to pull the price lever a little bit further, either through rebates or rather mechanism?
Louis Gries: We're always going to use price as part of our marketing mix whether it's competing for short term business or positioning ourselves for the longer term. So I won't say we wouldn't use the price but I want to again stress, Hardie becomes somewhat easier to manage than other companies because we know that whatever we set our price, the discounters are going to pick a margin below that, that they think they can sell the volume they want to sell. So it really doesn't help us, you know, if your price is X and you drop it to 0.95X and the discounters selling 15% below you, he is just going to go 15% below your new price. So we're value prices, and of course we have to deal with the discounters that are trying to sell a good enough product positioning but like I say, we're not tempted to try and chase more volume with price because we know what the rest of the market does when we do that.
Unidentified Analyst: Okay, thanks Louis. And just a second quick follow-up question on product sales by deciding the interiors Louis, what percentage of title volumes is that at the moment? And just the second quick one around trim attachment, right, and where you're seeing those?
Louis Gries: I don't have the exact percentage of interior volume but I can tell you it's growing at about the same rate as exteriors this year which is good. That's a much higher growth rate than they have been growing it. And as far as trim attachment, we've talked a little bit of code about starting of Plant City number four and Plant City number four is going to be a trim line, so our trim attachment is pretty good and the trend line is pretty good in a few of our regions, southeast being one of them. So that's why they have planned city capacity. Overall, I'd still say we're not performing as well on trim as we want to so we'll be doing more things on trim in the next couple of years because we're still not satisfied that we're getting the attachment levels we should.
Unidentified Analyst: Okay, thanks very much Louis.
Operator: Your next question comes from Simon Thackray of Citi. Please go ahead.
Kathryn Alexander: I'm sorry, Kathryn Alexander discussing in for Simon here. And can I just ask you a question around the input cost behaviors that you talked to. Can you give us the sense of the relative contribution from each of your input cost?
Louis Gries: I think we might have that in our material somewhere.
Matt Marsh: Yes, so far I'll give you a general sense. For the nine months in North America, gross margins were up about 330 basis points, and the bulk of that came from production costs, with a little bit coming from price. So the 330 basis points, you can think about that as 280 basis points of that is coming from production cost and 50 basis points coming from price. And then of the production cost, about a third of that is coming from input cost and two-thirds of that is coming from plant performance. That gives you a general sense there. The dynamic obviously is a bit different in Asia Pacific for two reasons; one, the pulp we buy is in U.S. dollars and as the dollar strengthens obviously that creates input cost headwind for the Asia Pacific business. And then the Carole Park startup the we've had throughout the year is obviously inflating production cost kind of temporarily. So that's why you see for the nine months in Asia Pacific, even in Australian dollars, the gross margins are down by about 120 basis points and you can see the majority of that is actually -- or more than the majority of that is the production cost because prices are up and are performing pretty well in the region. So I hope that gives you a general sense.
Kathryn Alexander: Yes, that does, thank you. And just one other question, just looking at your maintenance CapEx spend as erstwhile 20 on the presentation, it looks a little bit low just tracking against the last straight quarters. Is that the seasonality and how should we think about that going forward?
Louis Gries: The maintenance CapEx, we'd like you to hope we try to manage the plants to a certain level of overall maintenance. Obviously we have the money win, there is good projects or prevent the maintenance to do and sometime the timing of that results in a bit of quarter-to-quarter kind of lumpiness. We think we're kind of in this general range of $75 million to $90 million per year of maintenance CapEx. And that's the range that we're pacing to, this year will be a little bit shorter of that but what we're planning for next year is in that vicinity.
Kathryn Alexander: Great, thank you. And if I can just frame really, quickly one last question. You obviously talk about primary demand growth in the U.S. as your key metric and key focus going forward. Do you target primary demand growth in Australia and New Zealand as well?
Louis Gries: We actually do internally talk about it the same way. Primary demand growth tries to indicate how much demand is being created by your category relative to others that would also sell in the market. So in the U.S. it really does refer to our position and our growth against vinyl, we're creating primary demand for fiber cement at the expense of vinyl. In Australia, it's a little bit more complicated because we have brick, and then we have our flowing products which go against wood, we have our selling price go against brick. And then we have interiors products, we have commercial products, so it's not as clear of a concept in Australia but it is, I guess, generally it's the same thing, we don't play market share games, or category share games. So we're not going to grow as large as we want by selling against like products, we have to create demand for our type of product plus similar products. In our case in the U.S. it's final.
Kathryn Alexander: Great, thank you so much.
Louis Gries: Yes, no problem.
Operator: Your next question comes from Andrew Johnston of CLSA. Please go ahead.
Andrew Johnston: Hi, good morning Louis. Good morning, Matt. Just two follow-up -- two things, most of questions have been asked. Louis, can you just talk a little bit why your expense are poor, just to -- and then obviously as part of that how do you see that progressing over the next few quarters? And then secondly, Matt, can I just get you the number you mentioned about the impact on Carole Park, was that a number for the code or was it for the number for the nine months? I think it was $5 million to $9 million, $7 million to $9 million.
Matt Marsh: Yes, it's for the nine months.
Andrew Johnston: It was for the nine months, okay. Thanks.
Louis Gries: And as far as Europe goes, I was just management -- managing GAAP in Europe, we just had poor performance. And, no, we wouldn't expect it to continue. And we're already through the problem so we don't expect it to continue.
Andrew Johnston: Was that a volume problem or price problem there?
Louis Gries: Let's just keep it as management. And it wasn't price.
Andrew Johnston: Okay, all right. Thanks very much guys.
Operator: Your next question comes from James Rutledge of Morgan Stanley. Please go ahead.
James Rutledge: Thanks, good morning. I guess if I was to try and pick up one negative from the result, I think the eyes are packed, volume didn't awake even in the context of backing out the parts. Same-store declined and I'll get started to write in front of this decline in the quarter as compared to the second quarter. Just wondering if you can talk around that?
Louis Gries: I probably can't, I'd probably look at -- I mean you're right, trees lowered in seven [ph], so I get it. But I sat through around review the Australian business and I kind of came away, the only issue we had in Australia is the Carole Park startup. And the volume is probably normal variance, I don't know what timing of price increases and different things are down there but we actually like our growth rate against our market index in Australia and I won't read too much into this single quarter.
James Rutledge: Okay, thanks. Just secondly around the normalized action that you're talking to for Europe I guess, over the next 12 months. Is that loss is normalized? I guess that is going to improve your overall divisionally but margin there and even though you're not taking a price increase this quarter, those input cost do continue to be favorable then I guess you should be probably tracking above the 25% margin. Are you comfortable in the short term with that margin tracking above 25% or how should we be thinking about that?
Louis Gries: Yes, I mean our official comments then in the top are slightly above our range and certainly that will be that way this year and my guess would be saying next year. The only -- you wouldn't worry about Europe next year, you just take a look at the input cost and if they took a radical swing around that might pull us down a little bit but we're pretty confident where we've been sitting now for last four quarters at the top or slightly above our range.
James Rutledge: Thanks a lot.
Operator: Your next question comes from David Leitch of UBS. Please go ahead.
David Leitch: Hi, thanks for taking my questions. Firstly, I wanted to just quickly ask about the vinyl penetration strategy, you -- similar light of growth in R&R as a new final setting. What was thinking of one…
Louis Gries: Yes, it's actually -- I mean, it's more of an SG&A challenge in R&R but it's actually a little easier market development on R&R because you're talking -- the decision maker is the individual gets the benefit of the decision where with the builders they tend to want to multiply the premium buy, the number of houses they're going to build and it becomes a little bit tougher decision for them than it is for the home owner. But the short answer to your question is yes, we see ourselves ending up every bit as good market share wise in the R&R as we are -- as we will be in new construction and vinyl markets.
David Leitch: Thanks. And my -- that sort of counter guys to my next question, which really I shouldn't be asking there but I will anyway. Like I look at the population growth and housing development market, household formation in the United States and does that show that an incredible amount of population growth is in over 55, over 65 age category and I kind of think that's going to remain over the next 20 years, there is going to be a big shift in the student path [ph] that can get build. I'm just wondering whether you think about that and does it have any influence to your product strategy or you're just not going to set control?
Louis Gries: Our job is to have a strategy for each segments, we don't have for high rise construction here but pretty much every other segment whether it be senior living, standard homes, first move, second move, repairing models. We have our game plans and our game plans lead to more market share in those segments and if that segment becomes relatively larger and smaller overtime then we either get a little bit more or little bit less. So we don't have any big strategies we're working on for shifting housing market in the U.S.
David Leitch: Thanks guys.
Louis Gries: All right, thank you.
Operator: [Operator Instructions] Your next question comes from George Klaffin [ph] of ONM Investment Management. Please go ahead.
Unidentified Analyst: Hi Louis, just -- the same question what was asked, sort of split between R&R and new construction volume over the nine months and hasn't been much change in that. And you talked a bit about the share growth but share growth in maybe the rear side market. And how you're addressing that and what's happening there?
Louis Gries: So our rough split is coming in the year and that's out still right now is about 60-40 between 60% in R&R and 40% in new construction. As far as our R&R game plans, I think you know we got our game plans running in final markets. Then we enhanced that in some markets where we call our ambassador programs. And then more in the hard sighting standard markets which are mainly fiber cement standard markets, we run our R&R little bit differently. I won't say that we're running every market as well as we want but we're pretty effective doing market development against final in the R&R segments. We like to be doing it in more markets, probably doing it better in most markets but overall I'd say we're pretty good. So I think you know, obviously this PDG, like I said it's mainly pointed at vinyl because their rate of decline has slowed while we've spent some time on other things and we're back with the appropriate resource and focus on vinyl. And as you say, that means vinyl new construction and vinyl -- which is mainly in the Mid-Atlantic and northern markets. And then vinyl R&R which -- again it's in those same markets but little bit more widespread than R&R, it's more than standard than R&R even when it is a new construction.
Unidentified Analyst: Have you got a rough share what you got on that grey side marketplace, I mean it's…
Louis Gries: Our estimate of our shares are almost identical, they are probably both between 18 and 19 or 17.5 and 19.2 or something like that, they are very close to each other.
Unidentified Analyst: Okay, that's it. All my other questions have been asked. Thanks, Louis.
Louis Gries: Okay. Thanks George.
Operator: Your next question is a follow-up question from Andrew Johnston of CLSA. Please go ahead.
Andrew Johnston: Thanks, Louis. I should have asked this one before but just can you talk about whether you're seeing different growth rates in Houston and in Texas compared with what you're seeing in the rest of the country and what you've been seeing in those markets over the last couple of years?
Louis Gries: As far as our volume growth or the -- maybe housing starts?
Andrew Johnston: Well, we can do the housing starts numbers, they cross right Houston is coming off of it, just in terms of your volumes.
Louis Gries: No, we've been in pretty good shape in Texas, we've been concerned about some of the forecast that had Texas housing coming way off. I guess Houston is softened and had been but then other markets like Austin and Dallas have been pretty good. So you asked me about our growth rate related to the last couple of years and I'd say it's in the same range. We're in pretty good shape.
Andrew Johnston: Okay, great. Thanks.
Operator: There are no further questions at this time. I'll now hand back to Mr. Gries for closing remarks.
Louis Gries: All right, thank you very much. I appreciate everyone joining the call. We'll talk to you next quarter. Bye.
Operator: That does conclude our conference for today. You may now disconnect.